Operator: Good day and welcome to the AmeraMex Third Quarter Financial Conference Call. Today's conference is being recorded. And at this time, I would like to turn the conference over to Marty Tullio. Please go ahead.
Marty Tullio: Thank you, Kim. Good morning, everyone. As usual, before we begin today's call, I'd need to share with you that the statements made in this conference call that relate to future financial results, markets, growth plans or performance are forward-looking and involve certain risks and uncertainties associated with demand for both products and services and development of markets for the company's products and services. Actual results, events and performance may differ materially. Conference call participants are cautioned not to place undue reliance on these forward-looking statements, which speak only as the date of this conference call. AmeraMex undertakes no obligation to release publicly the results of any revision to these forward-looking statements that may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. Now I would like to turn the call over to AmeraMex CEO, Lee Hamre. Good morning, Lee.
Lee Hamre: Good morning, Marty. Thank you. Thanks to everybody for joining us this morning for our third quarter conference call. With me today are Mike Maloney; our Chief Operating Officer, Tracie Hannick, our Chief Financial Officer and Marty Tullio you have heard from with our board secretary. Before we begin today's call I'm sitting on side of the interstate 1:56 [file] on my way to see customers down on the coast. So if you have trouble hearing me, it could be the connection. I'd like to thank all of our shareholders for their support over the past years as we fulfill our goal of increasing shareholder equity and becoming a fully reporting company. Yes there have been some disappointments such as the failure of our first audit, which we did everything we needed to do and we just got kicked out the door at the end and there was nothing we could do to change it. So the first audit fell apart. We began as some of the -- the first one we began fell apart and we're just at the finishing stages of the one we're doing right now and everything looks like it's moving ahead fine. We have had some letdowns on opportunities in Africa, mostly because of the lack of being able to put financing together. Some of the countries we're working in are very difficult to get financing for because they're very poor countries. I can tell you we put forth the effort and the time and the money we had to spend in all instances to do the best we could and we've had a lot of successes just not all of them have succeeded. While we're disappointed as our shareholders are, I personally would like to say how disgusted I've been over the negative emails and attacks, insinuating that not only we have not been pursuing opportunities in Africa or are pursuing the SEC audit. In fact these comments have been insulting to management by implying often that we're not doing our job, calling us liars and incompetent. The staff here at AmeraMex all works very hard to advance the company and increase sales. I've personally traveled over 300,000 air miles this year and I've driven over 75,000 highway miles and like I said, I'm on the side of the interstate right now making this call. So we have put out the effort. We've worked extremely hard and through a terrible recession that would've killed anybody that didn't put in the time and effort that we've done. This negativity that we've been hearing serves no purpose and seriously affects obviously shares we've fixed, our stock price and the reputation, which in turn affects all of you our shareholders. Before we provide an update and answer shareholder questions I would like Tracie to provide an overview of our financial statement for the third quarter ended September 30 and for the nine-month period of the year. These financial were disseminated earlier today and they along with our quarterly disclosure were uploaded to the OTC market place. Tracie would you take over?
Tracie Hannick: When we last spoke, I shared with you that we were well into the audit and notwithstanding any foreseen delays, expected to have the audit complete by the end of September, our promised to-date. The audit was delayed, but it is complete and we're finishing its review. We expect the audit to be in the hands of our securities attorney by the end of this week and if all goes according to their estimate, 30 days for their preparation of the Form-10 and the SEC's normal review cycle of 90 days, we should be fully reporting by the end of March 2017. Before I discuss the financials for the third quarter, please remember that all numbers discussed today are approximate. As announced earlier today, revenue for the third quarter ending September 30, 2016 was $1.3 million compared to revenue of $1.7 million reported for the 2015 quarter. The summer months have always created some seasonality in our third quarter revenue. Revenue for the nine month period increased 78% to $7.1 million versus revenue of $4 million for the comparable 2015 period. Gross profit for the third quarter as a percentage of sales was 42% compared to 37% for the three month period of 2015. Gross profit as a percentage of sales for the nine month period was 59% compared to 50% for the comparable period. We had our first net loss of $152,248 compared with net income of $101,649 for the third quarter of 2015. This is our first loss in 10 consecutive quarters of profitability. This loss was due in part to the charges for the audit, employee health insurance, which we did not have last year and we have changed the manner in which we're reporting depreciation. Net income for the nine-month period was $1.2 million compared to net income from the comparable period of $332,919, a significant improvement. Our balance sheet for the third quarter is stronger with total assets increasing by $2.3 million due in part to increase inventory and cash. Our total liabilities rose with the purchase of inventory increasing our accounts payable. I would like to turn the call back to Lee.
Lee Hamre: Thank you, Tracie. Before beginning projects and pipeline update, I would like to say that we expect a very strong fourth-quarter and we have lots of deals in the process right now and our sixth consecutive year of profitability also. As discussed in our last conference call, our objective is to generate a more sustainable cash flow and to do this, our goal is to increase our pool of rental equipment from $4 million to $10 million by the end of 2017 and actually we have increased it from the $4 million to I believe around $6 million now and as we get contracts generally it puts the plot on long term rentals. We’re going to keep growing that number. We're working on several requests for pricing in the Congo. We’ll discuss them publicly when we feel we have a 95% or greater chance that the project will become ours within a 90-day timeframe. In Mali we help our customers there that bought several big machines already. He called me earlier in the year, but by the end of the fourth quarter or the first quarter of 2017, he'd be ready to spend another $1 million on construction equipment to rebuild. We’re on track for that. They are looking to do more business with us. They were very happy with what we shipped them and it's all been running well and doing a good job since it got there. To become more competitive in Africa and to open the door to opportunities more easily finance, we’ve been working with a tactical vehicle manufacturer that will give AmeraMex the right to market specific types of vehicles in African countries. This is important to AmeraMex as it expands not only our product line, but potential customer base. As of today we have a signed agreement to represent this company in Nigeria, but the news release or final approval by the manufacturer. So we’re not at liberty to give you any names today. As soon as we have the approval to do an announcement, we will do one and we'll tell you everything that we can. Core business, currently our pipelines for core business contains potential U.S. business, U.S. government proposals, international proposal for Africa and Central America. We had potential customers from Ecuador and Vietnam and to look at our line of used equipment just after Labor Day. We received one order from Ecuador and are maintaining conversation with our Vietnamese customers. We've just been formed that an approval from the leasing company in Guatemala has come in and the lease is approved for $600,000 sale of machines out of inventory to accompany that we've dealt with in Guatemala for a number of years. They are buying four loaded container handles, two containers full of spare parts. As long as the customer is in agreement with the terms offered by the leasing company and signs off on the document, we will be able to begin shipments of these machines and parts. If he disagrees with the terms on the lease approval, he is still able to pay cash and we're happy to accept cash. We are also excited with the prospect of becoming a fully reporting company in March of 2017. The audit coupled with uplifting to the OTC QB and IR campaign along with positive input from shareholders will benefit all shareholders. Please make positive comments whenever you can to your best interest as well as ours. We want to build the stock up. Operator, we would like to begin questions-and-answers now.
Operator: [Operator Instructions] And we will take our first question from Alan Cowen with the NC Financial.
Alan Cowen: Hi everybody, Lee thank you very much for doing a great job. We continue all the efforts that you're putting out very much and we're with you for years. We are going to stay with you for a long time because we believe in the company. My question is why has the outstanding stock gone up about 60 million, 70 million shares? Can you just tell me whose initiative? Thanks.
Lee Hamre: I am actually like I said, I'm sitting on the side of the highway. The only shares that have been issued over the last year, I believe were some that went to replace debt to some debtholders and that we're willing to accept stock myself. I took some stock for some debt that company owed me. It is restricted stock. There is nothing I can do except sit on it, but it takes the debt off the balance sheet and I believe there were one or two others that did some and we do say our board members and stock that’s all restricted for their service for the year. We don’t pay any cash to board members. It's strictly the stock at the end of the year and I think that all has been done in the last 12 months.
Tracie Hannick: Let me answer that, this is Tracie. We have not issued any stock since March of 2016 and not was debt reduction. The only other stock was year-end bonuses. We have been correcting through this audit some information in that area of our books. So that might be reflected.
Alan Cowen: Okay. Thank you very much. Appreciate it.
Operator: We will take our next question from [Elliot Hensmen with SMH Finance].
Unidentified Analyst: Hi Lee, how is it going? Tracie glad to see you feeling better.
Tracie Hannick: Thank you.
Unidentified Analyst: And back and forth, listen Lee I have two questions one you have already addressed regarding military equipment company and I think basically we need that to sit now until they're ready to do what they can do and before I ask my first main question, I want to address this business of the nasty calls and the negative emails and so forth. To you people that are doing that, you need to sell your stock now and help yourselves because you shouldn't be involved in this. You’re not financially wise enough to understand what company you’re with and what stage this company is in. It’s very strange that you would buy shares for a penny or less and start complaining about with what you bought. This is an emerging company. It’s future wise ahead. It's going to be fully reporting soon. So if you don't want to be here, sell your shares. My group will buy them on the open market and you're gone. Don’t make Lee and the employees' job any harder and that’s what I have to say about that. So, my extra question is about Menzi-Muck. that piece of equipment looks fabulous. To me the future on that looks very, very bright. Lee could you spend a couple of minutes and address that?
Lee Hamre: Sure, yes actually I'm on my way to our customer offers right now and the factory representatives from Switzerland is with me. He is in a restaurant, having a cup of coffee. I'm in parking lot alongside the highway here and we sold one new Menzi markets say $345 machine. We delivered as about a week ago and we go and meet with the customer now. Another customer within 30 minutes where this particular guy is, we're meeting with him after that and he's talking about three of the machines, which would be another $1 million worth of business. This is a custom-built machine from Switzerland and I’d love to have all of you go on YouTube and put in Menzi-Muck and there is several videos of machine working as very, very impressive and it’s our quality built machine. I went to the factory in Switzerland about two months ago and believe me you could eat eggs off the floor. It was absolutely spotless from front to back and top to bottom and everybody working in there was dedicated to their jobs. I'm very impressed about this machine I know that it's going to be a good future item for us. The factories offered to put a $40,000 0 its spare parts in our inventory and no cost to AmeraMex. So, we can properly backup the products. We agreed that we'll buy this spare parts after we’ve got a few machines in the field. With just one machine in the field we can’t justified putting $40,000 of the parts in the parts room, but working together with the factory makes sense and they believe it would make sense and so it's all coming together.
Unidentified Analyst: Lee is there -- are there other that customers that have expressed interest in looking at presentations on this? How is it going?
Lee Hamre: Absolutely, that’s why we’re coming down to the coast gone there. Will be at a [indiscernible] in Southern California and there is several as to two big companies there that running or is there cone company we’re talking to in Southern California this running five machines and all of them are outdated according to the California Air Resources Board and they need to replace all five of them. And there's another customer we're dealing with in Sacramento, same thing. These guys have been running machine that are no longer legal to run in California due to the exhaust being coming off the machine. The Air Resources Board has stringent requirements and they're all getting pushed to replace their machines and we are the source.
Unidentified Analyst: Last thing on Menzi-Muck do you know or aware of any of these piece of equipment to cut wire lines -- wildfire.
Lee Hamre: Absolutely that’s one of their purposes with a grinding head to grind the underbrush is swing around the machine then it take out brush and then alarming rate and clean up a fire line during the fire. Yes, it’s a very strong purpose of the machine.
Unidentified Analyst: Okay, Lee thanks a lot for addressing this. A, don't listen to those people, they just -- they’ll be gone soon enough just forget about do everybody step, ignore them. So have a good trip and safe and 6I will talk you soon.
Lee Hamre: Bye, thank you.
Operator: [Operator Instructions] We will move on to our next question from Charles Iyers, a Private Investor.
Charles Iyers: Hey I have a question for Lee and a question for Marty. So one of the few things that the political candidate seemed to have agreed upon is the need for infrastructure projects and that seems to be something that’s getting some strong support in the Congress. So Lee are you going to target the company towards bidding on those offers?
Lee Hamre: Well absolutely. The one thing I can tell you about the industry that we're in after this long recession that our leadership has had us in for eight years. What happens next is all the contractors have sold off their machines to be able to pay their bills and keep their companies going. If they haven’t done that, they’ve gone broke and what happens now is the contracts get issued to companies that have no equipment and they have to rent. So the best way to be ready for this search in business is for us to be buying a rental equipment like I talked about earlier in the call, increasing our rental fleet and being ready to put the machines out on jobs, it will take historically and I've been 40 years in this business. So I do have a track record historically it takes anywhere from two to five years for the contractors to make enough money that they can start buying equipment instead of renting again. Now the big companies is not that way. The real big contractors, they still have equipment and they will buy fairly quick. It's 90% of the contractors out there are small businesses and they are renting. That’s just dollar is good.
Charles Iyers: Well I couldn’t ask for a better answer to my question. That sounds great. By the way I have attended every conference call since you started them, I buy stock every month and I'm going to keep buying it, I think you guys have great management, so I would hopefully just ignore and not let those people get to you.
Lee Hamre: So I appreciate your comments because it gets harder your work in the morning you see that stuff, the tougher it is to read it and stomach it
Charles Iyers: Well you don’t hit from quiet investors that have supported you for years but anyway, I think you are doing a great job and I really think we have got a great future. A question for Marty, could you walk us through the sequence of events that’s going to follow after April 1, so I assume that you're going to leave the pink sheets and apply for another exchange is that correct?
Marty Tullio: Yes. What we would like to do is when we have the final SEC approval on our Form 10, the next step is to once we have that in hand, the next step is to apply to it we'll probably be there has been a lot of conversation but because of the stock price, we would be applying to the OTC QB and in doing so, our price has to be at least a penny. So one of the things in order to do that, we would like to be able now to use small budget which we're putting together and now to do some IR campaigns and planning, we haven’t done that because not being a fully reporting company makes it extraordinarily difficult for small funds and brokerage firms to buy your stock. It's almost impossible and we have to depend on retail investors like yourself. And we are going to continue to depend on them by going to retail investor shows and also some of the small conferences for microcap companies. That’s the plan but to do that having that being reporting is extraordinarily important to the success of any IR campaign.
Charles Iyers: So when you are -- fully reporting then should really help you to get up to that penny a share level, is that correct?
Marty Tullio: Absolutely fully reporting and some campaigns would be pouring around that time should help us to get up to that level. A lot of our stock price I feel has deteriorated because we started our first audit as Lee said and unfortunately the auditing firm wasn’t perhaps the correct one because they did take the money. They just didn't finish the audit. So getting this done and becoming putting I think just by itself will increase the stock price, with campaigns around that and then to also will significantly increase.
Charles Iyers: So if you can't answer this question that's fine, but when you're fully reporting based on the size of the company and your years of experience, what do you think a fair price for the stock would settle out initially?
Tracie Hannick: Well right now I've been doing some tables on small on what we call small-cap companies, microcap companies. They're fully reporting that do not have the revenue or the bottom line. They may have revenue but -- topline revenue, but they have no bottom line. The difficult part of this is that the industry will end their very few public small-cap companies or microcap companies in this industry. So, I've had to look around and find other similar industries. So to me, while I'm I am really guessing I would say the worst case would be $0.05. That would be the worst case I too believe that because, we would have a wider audience. This is the first quarter and tenth consecutive quarters that we haven't been profitable and there I look at those microcap companies and there are very few of them that have any profitability or have had any profitability for number of years. And again it's not exactly the same industry but the service -- I look at it as an equipment and then service environments. So I think we're undervalued because we’re not fully reporting and again brokers and brokerages and funds can bias.
Charles Iyers: Yes, and that’s all going to change in the future certainly looks increasingly bright, especially with the infrastructure spending that’s going to becoming and the rental market that Lee is setting up, one quick question Lee, do you have an exclusive on those Swiss machines?
Lee Hamre: On the Menzi-Muck, yes we are the exclusive dealer for 11 Western states.
Charles Iyers: Okay that's great. That's really important I mean really, really important for the future that wasn't clear to me.
Lee Hamre: Yes, we’ll be setting up sub dealers that are probably Arizona, Colorado, Utah, Idaho, Montana that will, we will service them with parts and machines and will make a discounted sale price and they'll be helping us with sales calls and service and ultimately that's my plan with Menzi-Muck and everything in Central and Northern California we would service ourselves.
Charles Iyers: Well that's great. After all these years of hard work it looks like you might be in the right place at the right time. So, again I just want to thank the team for everything and I'm going to keep buying stocks so keep updating.
Lee Hamre: Thank you very much.
Tracie Hannick: Thank you.
Charles Iyers: Yes, sir.
Operator: And we move on to our next question from [Joseph Smith with Added Pro].
UnidentifiedAnalyst: Hi, Lee.
Lee Hamre: Hi.
UnidentifiedAnalyst: Listen just to let you know where I stand. I have been shareholder for well over five years and like the previous gentleman, I have been cumulating over the years and have well into the millions of shares. So, I do have a high level of belief in the company and I do think that you have been going in the right direction, given there are many external problems that happen within the country. But fair to say over the period of time that I've been there and listen to the share due to the progress and watched the company, you are the main the face of the company, you seem to be the main salesman, you travel hundreds of thousands of miles a year by plane and by car. And I start worrying that your health I don't want to be negative and I don't want to do be -- start any type of rumor I think but I am just wondering. Is there some sort all plan of succession in case something happens, that happens to a lot of people at different ages and I hope that the company can continue as well as it has under your leadership. I would hope there is some kind of succession that you could point to.
Lee Hamre: I’m working on that. The recession that we've been in for eight years really put the brakes on a lot of plans because it was just the survival mode and then work our way back up. I'm probably within a couple months of looking hard for a good General Manager. We have a Chief Operating Officer, Mike Maloney who is helping a lot. I have one salesman that works with me, who has done all the sales on Menzi-Muck grant and then he is somebody that has travelled with me Africa about 20 times. He knows all of our customers over there like I do. Right now, if something happened to me tomorrow Grant could pick up the pieces and keep everything going with customers, that’s the reason why I brought him in house. In addition we will have another salesman I'm working on a position for another salesman for local business for rentals and sales. It made no sense to hire that person up until now as we're coming out of the recession and business is ready to take off. We need to be ready for it through the recession that would've done us no good because when there is nobody buying anything that salesman is not going to sale anything.
UnidentifiedAnalyst: I understand that, but you understand my concern over the years, you have been…
Lee Hamre: Absolutely I understand…
UnidentifiedAnalyst: Not only do I have a high belief in you but I have a significant financial investment in you. I don't want anything to happen to you but just in case you know…
Lee Hamre: I know anything can happen to me…
UnidentifiedAnalyst: I’m trying to be…
Lee Hamre: I don’t know if anybody said anything, but I recently last June I’ve got married again. I'm really happy, I’m healthy, I’ve got no health problem whatsoever, blood pressure is low, things are in great shape and I don’t anticipate any problems although they do surprise you sometimes, but I think everything is going to be fine, but were still working on the succession plan.
UnidentifiedAnalyst: Well that’s good. That’s great and be careful of that marriage because you don’t want to be too stressful.
Lee Hamre: Well helps de-stress.
UnidentifiedAnalyst: Okay, thank you for your time you.
Lee Hamre: You bet.
Operator: We’ll take our next question from Mike Neville a private investor.
Mike Neville: Lee sounds like you‘re doing pretty good maybe, maybe most of the -- better than most of the shareholders here. I’d like to thank you for all your hard work. I too am shareholder for about three years, two million shares that I have, haven’t -- I don't believe, I’ve sold a single share. It sounds like through your comments that Africa is not dead and there is still lots to do over there. Is that true?
Lee Hamre: Absolutely, there is no question, that’s going to be a big part of our future. We concentrated on fields in Africa during this recession mainly because there's nothing going on at home. The construction world in the U.S. was at a absolute lowest point in my career and there wasn’t anything that you will sell to anybody. So, I just redirected my energy towards places where I knew we can do some business and as far as really big contracts in Africa, we haven't got the big giant contracts, but every time we get over there, I meet somebody new or two or three and we sell a few machines here and there and a few machines every month is all we really need to keep growing. If we get a big contract fabulous, but in the meantime, we are considerably ahead of the expense of being in the marketplace in Africa with used equipments that we have shipped over there. So I don’t think the big giant deals. We can just day-to-day business, we can keep things going that way.
Mike Neville: Right, right that sounds great. I know the core business local U.S. business sounds like it's doing a real good especially with the government contract. I know when you put out PRs about government contracts, it can't go wrong dealing with the government and maybe some other with the new infrastructure coming out maybe that will grow.
Lee Hamre: Right. While we have grown it quite a bit but about four I'm going to guess $4 million worth of rental equipment that we bought, is all on long-term contracts with the U.S. army and very stable. They pay every month on time as agreed and the ultimate yield from that of course is at the end of the five-year rental contract, we've got machinery that’s still in great shape and half or more what it was new and it's completely paid for, thanks to the U.S. army.
Mike Neville: Right. You can sell it and start all over again. That sounds great and on -- you mentioned the shares that were given out in compensation, I'm looking at it on probably your yearly report and it says here, we're issued as restricted securities as defined in Rule 144, now how long are those -- all those shares restricted for one year, is it 10 years because the shares that were issued looks like one year ago they will be able to sell now.
Lee Hamre: They are restricted for one year all of them and then if we want to get the restriction off as a shareholder you have to go through all the steps to remove the restriction and it takes an opinion letter from SEC lawyer. It takes -- it's not easy to do and on top of that pink sheet stock is restricted is really difficult even to find a broker that can help you sell it.
Mike Neville: Because you put out some great PRs right some good news, today's news was great but then it seems like there is always someone just waiting for that news to sell 100s of 1000s on shares and then the next day, the volume goes to zero and so we...
Lee Hamre: I understand what you are saying. I wonder too I watch the same thing you are watching. Our stock was down quite a ways I guess two, three years ago. I don’t remember exactly when we were down 0.003 and anybody probably at that time we don’t know who they are, they are holding a lot of shares that could sell them and double their money, at 0.006 and we're higher than that. So hopefully they will run out of shares. They will be gone and then we don’t have the problem anymore. That low point we went through, put some shares out, there were people who were buying them.
Mike Neville: Great. Is there any chance with the audit is being so close and the last audit bailing at the last minute, is there any way that this audit will not succeed and you will have to start over?
Lee Hamre: I don’t see how. I want to pass this one off to Tracie. She is the one communicating directly with the auditors. So Tracie can you make him feel more comfortable? Tracie?
Tracie Hannick: Sorry I had the phone on mute. I apologize. I think that the audit is moving along. We are working with the another CPA who was helping us and I expect that communication to be done over the next couple of days. And all the paper work is in, all of the documents they’ve requested have been provided. It's just ending all of these little tiny final details that we have to put together.
Mike Neville: Right. Everything takes longer and cost more.
Tracie Hannick: Exactly, I agree completely and in these audits, there are just a million small details and we're trying to dot every I and cross every T and get those details to them.
Mike Neville: Right, I know you’ve probably done tremendous amount of work to try to get share price up. What if share price in April, the other shareholders stated, what if it's right where it is today? Is there reverse split in order or a share buyback program because I know if there was a fire of just few hundred thousand shares the stock price would pop and early it could easily go over a penny if there was serious buyer, there just has not been a serious buyer in a very long time?
Tracie Hannick: That’s a question for you, Lee.
Lee Hamre: Sure yes, if somebody comes in and I fully expect that when we are fully reporting and we are exposed to all the people that don’t look at pink sheet stocks, but they look at over the counter, fully reporting stocks that I think we will see some players come in. I really do. I expect it and I don’t see a problem in the stock band above a penny fairly quick. There is a lot of business in the works.
Mike Neville: Great, I have said for years even on the conference calls for the past two years. I think have been on everyone but I have always said auditing will A. do your credibility and the company's credibility tremendous – tremendously.
Lee Hamre: Absolutely.
Mike Neville: Okay. I will leave it at that. And we want to again thank you for your hard work and for your family's hard work also.
Lee Hamre: Okay. Well thank you.
Mike Neville: Thanks Lee.
Operator: [Operator Instructions] Our next question comes from Matthew Davis, a Private Investor.
Matthew Davis: Hi Lee just want to thank you for doing such a great job with this company over the past couple of years. I did want to note a couple of things though. I talked to you last call, if you want the stock to go up, you got to buy shares back. You're sitting on 1.2 million. Your entire float right now is about 1.02 million, not to say should take all your cash obviously, you need your cash for your business. But if you took 1% or 2% of that cash every month and bought stock back based on you can only buy it back based on your average volumes, but just to do that one you would see your stock price start to go back up. Promise on low volume, on OTC at your current stock price, stock is manipulated, people get tired, people see the stock before stab and doesn’t take that many shares to drive it down and that’s where you end up sitting where you're sitting now. Had the company showed ability with the notion that they're willing to buy back stock even if there was just $10,000 a month, $10,000 is lot of shares with the float the way it is and the stock price the way it is, you would see the stock moving back up. But as long as we sit where we are, we're going to see the same thing continue to happen, will an audit fix that maybe, will more business fix that maybe, but the reality is AmeraMex is extremely unique in its cash position and its revenue position, its profit position. There is really not -- if you really can't find another company like it. It just doesn't behave the same way that a normal stuff would do want in a normal market. So it's not a very sexy market. So there is not a lot of volatility and also the big deals that people felt like come through for hundreds of millions of dollars. When that didn’t happen, that present stock tickled down for sure OTC. People bet on OTC like they do at casinos but for the big payout, when that huge payout fall away and then all of a sudden you’re just a normal company where is the money left. So that’s why you’re sitting where you're sitting. I wish you the best of luck. I think you guys can do it organically, naturally, but you have to understand the playground that you are in. So that’s what I wanted to say and I wish you best of luck. I want to buy shares and I hope you get there. Thank you.
Lee Hamre: Thank you.
Operator: Thank you. Our next question comes from the Michael Classie a Private Investor.
Michael Classie: Good afternoon, Lee.
Lee Hamre: Hi, Michael.
Michael Classie: How are you? I jumped on the call real late and I review the queue this morning with your report real quick. The $200,000 loss that you guys had or that brought you into a negative for the quarter that's one time right.
Lee Hamre: Yes.
Michael Classie: Do you expect to be profitable next quarter?
Lee Hamre: Yes.
Michael Classie: Okay so it's just for the audit purposes. Okay and on the stock price, I've been around with you for a long time. I wouldn't worry about your stock being below a penny. Lot of buying will probably come in as you get closer to filing that SEC reports. So I wouldn't worry about that at all.
Lee Hamre: We just going to keep doing, what we know how to do right Michael.
Michael Classie: Yes, your company at this level you guys are doing a lot, but your company has really not worth that much as a public company stock wise. Hundred, two hundred grand will eat up a lot of the stock here and put you in a different level. So again I wouldn't worry about your stock price?
Lee Hamre: Right.
Michael Classie: All right. Keep up the good work.
Lee Hamre: All right. Thanks Michael.
Michael Classie: You're welcome.
Operator: [Operator Instructions] And as we have no further questions, I’m going to turn it back over to our speakers for any additional or closing remarks.
Lee Hamre: Okay. It's back to me then, it's Lee again. We’d like to thank all of you for participating in the call today and for your questions and continued support. We look forward to speaking with you when the year-end results are disseminated. That’s going to be out there in probably about March which we should have some real good news on where we are with the audits and the upgrade on the market and everything else we're doing. There are several big deals that I'm working on and I believe I am going to have some good announcements very soon. So, thanks again. We appreciate your time and participation and we'll talk to you in a few months.
Operator: And ladies and gentlemen, that does conclude today's conference. Thank you for your participation. You may now disconnect.